Operator: Good morning, ladies and gentlemen. Welcome to the CIBC Third Quarter Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to John Ferren, Senior Vice-President, Corporate CFO and Investor Relations. Please go ahead, Mr. Ferren.
John Ferren: Thank you very much, good morning and thank you everyone for joining us today. This morning, CIBC senior executives will review the bank’s third quarter results that were released earlier this morning. The documents referenced on this call, including CIBC’s third quarter news release, investor presentation and financial supplement, can all be found on our website at cibc.com. In addition, an archive of this audio webcast will be available on our website later today. This morning's agenda will include opening remarks from Victor Dodig, CIBC's President and Chief Executive Officer. Kevin Glass, our Chief Financial Officer, will follow with a financial review. And Laura Dottori-Attanasio, our Chief Risk Officer, will close the formal remarks with a risk management update. After the presentations, there will be a question-and-answer period that will conclude by 9 o’clock AM. Also, with us for the question-and-answer period are CIBC's business leaders, including Harry Culham, Steve Geist and David Williamson, as well as other senior officers. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today's call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC's actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today's press release. With that, let me now turn the meeting over to Victor.
Victor Dodig: Thank you, John. Good morning everyone. And thanks for joining us. This morning CIBC reported adjusted net income of $1.1 billion or $2.67 per share, an increase of 9% from the same period last year. Key drivers of our results this quarter were year-over-year revenue growth of 4.3%, supported by continued volume growth and higher fee income in retail and business banking and another strong quarter in capital markets. As well, we continued to effectively manage our expenses resulting in operating leverage of 2.6% this quarter. Our adjusted efficiency ratio of 57.8% was 150 basis points better than a year ago, and loan losses were also well down from levels in our second quarter. We're very pleased with our performance this quarter, which was achieved against the backdrop of an economic environment that remained challenging and the volatile market conditions coming out of the Brexit vote. Through this difficult period, we supported our clients. We effectively managed risks and we generated value for our shareholders. Although we can't control the economy or the interest rate environment, what our team at CIBC can do is control our strategy to remain profitable and to continue to grow under these conditions. We've been very clear and transparent on how we will build a strong, innovative and relationship oriented bank that will better serve our clients and enhance shareholder value. As you know we have three strategic growth priorities, and that's to simplify our bank, embrace innovation and deepen client relationships. We've committed to simplifying our bank to make it easier and more convenient for our clients to carry out transactions or get financial advice anytime, anywhere and on multiple platforms. We will also continue to be the leader in innovation and adopt new technologies that are secure, reliable and support growth for our bank. Our goal is to become the number one in client satisfaction over the medium term. And in the past three years we have closed the gap significantly between ourselves and our competition. Our positive momentum was reflected in the 2016 J.D. Power customer satisfaction survey where CIBC gained 22 points year over year and continues to close the gap to our peer group. Our team remains focused on improving client service and have the full energetic support of our entire bank behind this goal. The acquisition of PrivateBancorp that we announced in June supports our goal of becoming a truly North American bank for our clients. This transaction will extend – allow CIBC to extend our U.S. wealth management footprint into new markets where we currently do not have a presence and will expand our U.S. commercial and private banking business with the deposit taking capability we need south of the border. We anticipate completing the transaction in the first calendar quarter of 2017 subject to satisfaction of customary closing conditions, including approval by PrivateBancorp shareholders and receipt of regulatory approvals. So now let me turn to our business results. Retail and business banking reported another strong quarter with adjusted earnings growth of 6% year over year, driven by volume growth across all products, higher fee income and expense discipline. Operating leverage was 2.9% this quarter, well up from 1.2% a year ago. On the innovation front, we delivered our best quarter for new transaction accounts in over 10 years, driven by recently launched CIBC Smart Account. Transaction accounts are foundational to banking relationships and our momentum here speaks to the impact our client-focused innovative approach is having in the marketplace. During this quarter we were also recognized once again for our leadership in mobile banking. We shared the top overall score among the five largest Canadian banks and we are ranked third globally in Forrester's 2016 Benchmark Study of Mobile Banking Functionality. We're very proud of the innovative products and services our team has introduced to better serve our clients and we will continue to make investments in this area. My colleague David Williamson is here this morning to answer any questions you might have on our progress in retail and business banking as well as innovation. Turning to wealth management. Adjusted earnings were down 12% year over year. And if we normalize for American Century divestiture, earnings were up 10% as revenue growth in asset management and lower expenses contributed to strong operating leverage of 2.4% . During the quarter we continued to enhance wealth management products and services for our clients. To meet the growing needs of our clients who are in retirement corridor, we expanded our CIBC Personal Portfolio Services or PPS offer with three new income generation portfolios. We also continue to improve the client experience for our PPS and Mutual Fund accounts with the launch of new electronic statements this quarter. My colleague Steve Geist is here with me this morning to answer any questions you might have on wealth management. Our capital markets business reported another strong quarter. Adjusted revenue of $778 million was up 12% from a year ago and adjusted earnings of $313 million was up 16%. Our revenue growth was broad based with global markets and corporate and investment banking posting strong growth from a year ago. During the quarter our capital markets team helped our clients navigate market movements related to the Brexit vote. Weeks of advance planning ensured that critical advice and trading solutions were delivered seamlessly and successfully to our clients. We were also involved as advisors and underwriters in bringing several large deals to market, including the Lowe's acquisition of RONA, Suncor's common share offering and Stantec’s acquisition of MWH Global. And our innovative client-focused derivatives capabilities were recognized as the best in Canada for the third straight year by Global Capital, a leading capital markets research group. My colleague Harry Culham is here this morning to answer any questions you may have on our capital markets business. So in summary, we continue to operate prudently in an environment that remains challenging for financial institutions. I'm confident that we have the right strategy and the right team in place to manage through these uncertain times. Our focus will be to support our clients with innovative banking solutions and strong advice while continuing to deliver value to our shareholders. Before I turn it over to Kevin, as I like to do every quarter, I’d like to thank our team. Our team who works for our clients and our shareholders to build a better bank -- modern convenient bank that fits your life. So with that, let me turn it over to Kevin Glass, our CFO.
Kevin Glass: Thanks, Victor and my presentation will refer to the slides that are posted on our website, starting with Slide 5. CIBC reported record earnings in the third quarter. Our results reflect strong revenue growth across all of our business segments, improved credit quality and disciplined cost management. We delivered reported net income of $1.4 billion and reported earnings per share of $3.61 this quarter. We had a few items of note which resulted in a positive impact of $0.94 per share, more significant ones being a $383 million after-tax gain net of related transaction costs on the sale of our minority investment in ACI. In our reported results, this is reflected in the wealth management segment, was at a $30 million after-tax loan loss in our exited European leveraged finance portfolio and a $21 million after-tax gain from the structured credit run-off business, both of which are reflected in the capital markets segment. The balance of my presentation will be focused on adjusted results which exclude these items of note. We've included slides with reported results in the appendix to this presentation. Adjusted net income was $1.1 billion and adjusted EPS was $2.67. Our expense growth was well controlled and we achieved positive operating leverage of 2.6%. Our return on equity was strong at 19.8% and our CET1 ratio improved to 10.9%. Let me now review the performance of our business segments, and I will start with the results for retail and business banking on Slide 6. We recorded another quarter of quality earnings with good top line growth and a modest increase in expenses. Revenue for the quarter was $2.2 billion, up 5% from last year driven by growth in both personal and business banking. Personal banking revenue of $1.8 billion was up 5% from the same period last year. Performance benefited from strong volume growth across all products as well as higher fee income. Total asset growth was 8% led by strong residential mortgage growth of 9%. Our personal lending and cards portfolios, each grew 3%, representing a solid improvement over recent periods. Strong personal deposit growth of 7% benefited from the success of our recently launched Smart checking account as well as the growth in our savings and GIC offerings. Business banking revenue was $435 million, up 6% from last year driven by strong core lending and deposit volume growth and higher credit related fees, partly offset by narrower spreads. Business lending balances were up 14% and business deposits were up 9% from the same period last year. The other segment had revenue of $11 million, which was down $11 million from the same period last year due to the continued run-off of FirstLine mortgage balances which now represent approximately 4% of total mortgage balances. Provision for credit losses was $197 million, up $32 million or 19% from the same period last year due primarily to higher losses in our cards and personal lending portfolios. Credit losses were down $2 million from the last quarter. Non-interest expenses were $1.1 billion, up 2% from the prior year. We continued to invest in strategic growth initiatives to support our transformation into a modern convenient and innovative bank while remaining committed to improving productivity. Strong topline growth contributed to positive operating leverage of 2.9%. This resulted in a NIX ratio of 50.2%, an improvement of over 140 basis points from the prior year. Net interest margin was down 2 basis points sequentially, reflecting the lower interest rate environment as well as changing business mix. Retail and business banking net income was $667 million, up 6% from the same period last year. Slide 7 reflects the results of our wealth management segment. Revenue for the quarter was $607 million, down $23 million or 4% from the prior year primarily due to the sale of ACI. The other line in our wealth management segment includes the gain on sale of ACI which has been identified as an item of note and it also reflects the results of ACI for periods prior to the announcement of the sale. Excluding ACI, revenue for the quarter was $607 million, up $8 million or 1% from the prior year. Retail brokerage revenue of $317 million was down $9 million or 3% mainly due to lower commission revenue driven by a decline in client transaction volumes in our full service brokerage business. Asset management revenue of $196 million was up $16 million or 9% from the prior year. This was largely due to higher average assets under management driven by positive net sales over the course of the year, as well as seed capital gains in recently launched mutual funds and institutional pools. Private Wealth Management revenue of $94 million was comparable to the same quarter of last year. Non-interest expenses of $434 million were down $6 million or 1% primarily due to lower performance based compensation on the lower revenue from retail brokerage. Net income in wealth management was down $17 million, or 12% from the third quarter of last year. Excluding ACI, net income was up $12 million or 10%. Turning to capital markets on Slide 8. We continued to deliver strong client driven results. Revenue this quarter was $778 million, up $85 million or 12% from the same quarter last year. Global markets revenue of $415 million was up $52 million from the prior year largely driven by higher revenue from interest rate and equity derivatives trading. Corporate and investment banking revenue of $364 million was up $40 million from the prior year driven by higher equity and debt underwriting, corporate lending and advisory revenue, partly offset by lower CMBS revenue from our US real estate finance business. Provision for credit losses was $7 million in the quarter, down from $10 million in the prior year and $81 million in the prior quarter. This is due to a decrease in specific reserves in the oil and gas sector. Non-interest expenses of $367 million were up $32 million from the prior year primarily due to higher performance related compensation. Net income of $313 million was up $43 million or 16% from the prior year. Slide 9 reflects the results of the corporate and other segment where we had a net loss for the quarter of $34 million compared to the net loss of $55 million in the prior year due primarily to higher earnings in CIBC FirstCaribbean largely as a result of better credit performance. CIBC’s capital position remains strong and we continue to remain well positioned for the evolving regulatory and capital environment and also for the acquisition of PrivateBancorp. Our CET1 ratio was 10.9%, 50 points higher than the prior quarter reflecting the ACI divestiture. Solid organic capital generation was largely offset by strong portfolio growth particularly in personal business banking, the impact of standardized floors applied to operational risk models and also by lower interest rates which increased the discounted value of pension obligations. Our Basel III leverage ratio remained strong at 3.9%. This morning we announced we have elected to issue treasury shares to participants in our shareholder investment plan rather than purchase shares in the market. This will begin with our fourth quarter dividend payable in October. The shares will be issued at a 2% discount to market value. In summary, we're very pleased with our results this quarter. Given the strength of our diversified business model, we feel confident that we are well positioned to continue delivering long term value to our shareholders. With that, I like to turn the meeting over to Laura Dottori.
Laura Dottori-Attanasio: Thanks, Kevin and good morning everyone. So beginning with our loan loss performance on Slide 12. On a reported basis, loan losses were $243 million in the third quarter. This includes one $40 million item of note which relates to a loss from the only remaining account in our exited European leveraged finance business. Excluding this item, loan losses were $203 million on an adjusted basis or 26 basis points. This represents an $81 million decrease from the prior quarter and it's mainly driven by lower losses in our oil and gas portfolio. The loan losses in retail and business banking, and CIBC FirstCaribbean remained stable on a quarter-over-quarter basis. Slide 13, we see that new formations were $574 million, that's down from $1 billion last quarter. Gross impaired loans were $1.7 billion or 55 basis points as a percentage of gross loans and acceptances. This is down $143 million quarter over quarter largely due to an improvement in our oil and gas portfolio. And this decrease was partially offset by the new impairment related to the file that I referenced earlier from our exited European leveraged finance portfolio. To review our oil and gas portfolio, Slide 14 shows our corporate and business banking exposures. Our direct exposure is up from $16.5 billion last quarter to $17.2 billion this quarter. This is attributable to a combination of increased authorizations as well as the impact of the stronger U.S. dollar. Our loans outstanding increased 8% quarter over quarter to $6.9 billion, that's partly related to acquisition activity in the industry. 68% of our exposure is investment grade. That's up from 63% last quarter. From a subsector perspective, 51% is to exploration and production companies and that's down from 58% last quarter with only 4% in the services space. This quarter two names were added to our oil and gas watchlist. Slide 15 shows our retail exposure to the oil provinces. Our exposure was up $387 million to $39.7 billion. Excluding insured mortgages, our exposure was $18.8 billion. As discussed in previous quarters, we are continuing to see year-over-year delinquency increases in credit card and unsecured lending. Slide 16 is a new slide showing loss and delinquency rates for our Canadian credit cards and unsecured personal lending portfolios. The loss rates of both portfolios are up on a year-over-year basis and this is mainly driven by the oil provinces. Our Canadian residential mortgage portfolio is highlighted on Slide 17. It shows that 57% of our portfolio is insured with 78% of the insurance being provided by the CMHC. Slide 18 is also a new slide on our Canadian uninsured mortgage and HELOC portfolios and you will see here that loss rates of these portfolios continue to remain low and stable. Lastly, on Slide 19, we show the distribution of revenue in our trading portfolios as compared with VaR. We have positive trading days every day this quarter. Our average trading VaR was $5.7 million, down from $8.1 million last quarter, primarily driven by a reduction in our credit spread exposure. I'll now turn things back to John.
John Ferren: Thank you very much, Laura. So operator, we’re ready for questions from the phone line.
Operator: [Operator Instructions] The first question is from John Aiken of Barclays.
John Aiken: Good morning. Was wondering if you could expand upon the domestic loan growth that we saw in the quarter in context of the economic outlook that we have, and your commentary in the MD&A wasn't terribly rosy. But we've seen some very strong growth on the mortgage portfolio as well as the commercial side which I think was driven by real estate construction. I was wondering if David or Laura could give us so some color on that.
David Williamson: Good morning, John. I'll start off and then we'll hand over to Laura if she’d like to add a point or two. So why don’t we start with the business book. Yes, we're seeing strong growth in that book. We've been double digits for a few quarters now and this quarter strong as well at 14% growth. I’d highlight also good strong growth on the other side of the balance sheet too, it’s 10% in the deposit GIC front. So it's balanced growth. A couple of factors driving that, because it has been not this quarter but a few quarters and it goes to some of the efforts we made over the last few years, not the least of which is more feet on the street, like more relationship managers. In order to achieve that we started up an associate training program a few years ago and those people are now out of that program and joining the force and the productivity, and we look at the year-over-year productivity of that larger sales event each and every year. So more sales force and more productivity from the sales force. Risk in the business we’re working together really quite effectively to get a faster response to clients and we've been spending a fair amount on the technological support for clients like our digital services for cash management online and so forth much improved from the past. So we have taken steps that we believe in any kind of market context would allow us to perform relatively well but in the current context the market is strong, we're benefiting from it. On the personal side, again strong growth, good balanced growth in the total retail and business banking side, again balanced deposit and GIC, 8% growth on the lending side, 9% growth, so again trying to achieve a balanced book and those factors again go to things we've been working on for some period of time, building on deeper sustainable relationships and I think probably the key thing is the sales force and sales productivity, like we've really added to our sales force over the last few years. Since we put growth as one of our two objectives we've increased the sales force by 1800 strong and then importantly even though that sales force is new and fresh, the productivity of that sales force has gone up sustainably each year. And then again support on technology, our digital sales are growing at twice the rate of traditional sales channels. And you know as Victor said, we're doing in a way that clients like, our J.D. Power annual survey is up 22 points this year and we're only 11 points away from first now. So John, the market is strong for sure but we've been doing things for a while now that should facilitate that or explain that relative growth. Hopefully that helps.
John Aiken: David, just in context, I mean, we keep on seeing headlines on a daily basis about mortgages, real estate, everything else like that. And in context, do you believe that within a risk adjusted basis the growth in mortgages as well as on the real estate side of the book on commercial CIBC is being prudent to am I over-blowing concerns?
David Williamson: Yeah, I think we are being prudent like, for example, on the business side some time ago we pulled back on commercial mortgages, right, we’re pretty much letting that book grow at a very moderate rate, we could really be growing that book if we wanted to be. So I think we're showing that’s a sign of prudent and a sense that we've elected not to grow at a rate that we could. You are right about the headlines on the housing market and Canadian indebtedness. There are a string of headlines for our mission is to grow not based on price, and as we've said before when we lag when prices are going down and we're not doing it on prices, put it in that way. We're certainly not doing it based on risk. I can hand over to Laura in a moment, she can reinforce that. The way we're doing it, I mean, take the Vancouver market, that's the one that's gone in the headlines more than other markets. And we feel really quite good about our growth in that market. But why is that? Well, first, it's being done the right way through a much larger sales force. And secondly the productivity that sales forces is up and third, it’s important, based on client relationships like our team out there is very much embedded in the local community. And what we're seeing especially those big mortgages is a very balanced book, like the loan to deposit ratio on those mortgages is a lot better than the average in the rest of our country because it is a relationship based, balanced book. So it's not done on price. It’s done on the basis of risk. It's I think strong underlying factors but you know there are those headlines maybe I can hand over to Laura and she could speak to the risk side of that equation.
Laura Dottori-Attanasio: Sure, thanks David. Yeah I do want to point out that the reason behind our growth as David said it really relates to our large and effective CIBC sales force. We have not changed our risk appetite or our risk strategies. I mean in reality from a lenders perspective, the real estate market particularly in the Greater Vancouver area continues to be robust. I think that Vancouver has become a real international destination city, it’s a different market and we need to keep that in mind. It's a strong and diversified economy and when we look at that market, the delinquency rates are actually lower than our national average. So we have not changed our underwriting standards. They continue to be quite strong and so we're quite comfortable with our position here and if I can give you more comfort, when we look at our Greater Toronto and Vancouver area markets, we have better scores as I said than civilian national average, lower ad origination loan to values. Our serious arrear rates are much lower than our overall portfolio, and so the credit quality is very high in these particular segments. And as you can appreciate like everything and risk management we run stress tests on everything including this segment of the portfolio. And when we look at this portfolio, if we run a severe stress where we drop house prices down by fall at 30% and we assume the unemployment rate goes up to 11%. When we look at additional losses in that year we're looking at less than $100 million. And so the residential mortgage book is actually a very good product. In fact as we get worried about sort of where the economy might be headed and the leverage Canadian consumer, I think the area that you want to look at more closely is in the unsecured product area.
John Aiken: And before John Ferren gets too upset with me, David, just one point of clarification. In terms of this new advance sales force or increased force, do you believe that you actually are taking market share on a national basis and in BC in particular?
David Williamson: Hi John. Yes, I think we are the -- it is across the country. It is the productivity of that force as we give them more tools, improve processes, more training. Yes the evidence is that we are picking up share broadly right across the country.
Operator: Thank you. The following question is from Meny Grauman of Cormark Securities.
Meny Grauman: Hi good morning. Just wanted to ask a question about the credit card book in particular and just ask how much of what's going on there speaks to the commentary you made about being more cautious on the unsecured side of the book and I have a follow up but let's start there.
Laura Dottori-Attanasio: Thanks Meny. It’s Laura. So we are -- as I said from mortgages and unsecured lending, we tend to look at our delinquencies really in that later stage buckets. Those are stable and again we look at year over year versus quarter over quarter as it tends to be more of an indication of things to come. And we are seeing an uptick in delinquencies in our cards portfolio.
Meny Grauman: Just wondering more about from a growth perspective, the kind of growth that you're putting up on the credit card business, I think it's 3% year over year. Just wondering how much of that is you throttling back or are there other issues in the credit card book that you can comment on?
David Williamson: I can speak to that. Meny, we've made a bit of an update on the overall cards books, because we've done in the past, we’ll cut it between travel and non-travel. That's been given on two different trajectories. On the travel side we've seen a strong growth for a while back. This quarter is interesting. It's the first quarter that our Aventura book has exceeded the Aeroplan book as far as number of clients and I say we're getting there the right way in the sense that the Aeroplan books have been quite strong, a good stable book but our proprietary card has really been well accepted by Canadians and it's grown remarkably well since the beginning of 2014 the trajectories carried it over the Aeroplan book as far as the client base. So travelcard good growth. The as we talked about the non-travel was an area of as much focus and as a result that book was declining for a while. So we’ve reversed the decline and again one of the big players and that is our proprietary refresh cashback card which is catching on with the Canadians quite well. So that as you've identified our 3% year over year growth is the best we've had for a long time. But if you kind of look on a quarterly basis it's been a pretty consistent trend line of improvement and quite honestly we're still not at market growth rates right but that's the non-travel book. It's coming on and we hope to be up to market growth rates and hopefully better at some point in not too distant future.
Meny Grauman: Thanks for that and then if I could just ask just a follow up question on the mortgage side. If you could speak to the growth in the uninsured markets book in particular, I think it's a 36% year over year. Appreciate you talked about it in the call but when you see that kind of growth specifically in the uninsured side. What gives you comfort there that that you're kind of within your risk parameters and just stands out is in particular that area being particularly.
David Williamson: Meny, I think -- couple of factors, one is Laura talked about and I’ll hand over to Lauren in a moment we haven't adjusted our policies. What we have seen is our government stepping out of that business a bit. So I think it's not so much that we're going to do more on insured mortgages I think you'll see a more systemic industrywide move to a lower level of insured mortgages. And again I think it's a function of Ottawa saying they’d like to be less than that and that business. Second point is although a couple of factors, you'll see our uninsured book changing, also see the loan to value of the uninsured book improving as well, like it's down to I think 57% loan to value. So it's strengthening at the same time there's that, I’d say kind of systemic, kind of trend line to a smaller degree of insured mortgage book but with that maybe Laura, answering that or –
Laura Dottori-Attanasio: No.
John Ferren: Hi, it’s John Ferren here. If I could just remind everyone to please stick to one question. We do have a lot of analysts in the queue and we’d like to get everybody if we can. Thanks.
Operator: Thank you. The following question is from Gabriel Dechaine of Canaccord Genuity.
Gabriel Dechaine: Formations were down, you’d mentioned -- I think formations of DIOs [ph] because you sold some large exposure, I guess unimpaired loan loss, impaired loan that you sold, was that -- did you get a gain on that sale?
Laura Dottori-Attanasio: Gabriel, it’s Laura. I will attempt to take that question. So are you referring to the one provision that I referred to in our exited European last quarter?
Gabriel Dechaine: Slide 13, gross impaired loans down, and you attribute that to an improvement in the oil and gas sector and you sold a large exposure.
Laura Dottori-Attanasio: Yes, that's right. So we did sell a large exposure that went impaired last quarter. And so that's why you've seen the large decrease in our gross impaired loans.
Gabriel Dechaine: So you sold it this quarter, how big was it, was there a gain?
Laura Dottori-Attanasio: No. As you might recall we took a provision on it last quarter. So we did not make a gain on that. We did -- we were good in that we did not have to take any additional provision.
Gabriel Dechaine: But was it a big loan, you said large exposure?
Laura Dottori-Attanasio: Yes, it was. You might recall last quarter I had said that it felt like it was sort of the peak from a loan loss perspective, because there was one large exposure in there for which we had taken a large provision and the large amount had gone to impaired.
Operator: Thank you. The following question is from Sohrab Movahedi of BMO Capital Markets.
Sohrab Movahedi: I am just kind of turning it over to Victor quickly. Victor, this bank bought back some stock in Q1, you've introduced the DRIP, you've got the acquisition coming now. I'm just curious if you could maybe provide some color around the capital planning exercise and that you see over the next, call it, four to six quarters?
Victor Dodig: Sure, Sohrab. So one of the fundamental tenants we have as leadership team is to maintain strong capital ratios at CIBC. With this quarter were 10.9% which so far would put us at the top end of our peer group. I think that going forward maintaining strong capital ratios will continue to be an imperative in banking as the whole global banking landscape starts to shift. So at 10.9% bring good shape. We've elected to introduce a shareholder investment plan that will commence with our fourth quarter dividend in October and we have a number of ongoing optimization initiatives to continue to free up capital where we think that our shareholders aren’t getting the right level of return for the resources that are being placed against it. Our goal as we said at the outset is to be over 10% when our PrivateBancorp acquisition closes. Our goal is to continue to grow our dividends and be at the top end of that 50% range over time and our goal is to continue to be prudent as a bank in a macroeconomic environment that continues to present uncertainties. In terms of the buyback that we did earlier this year, we saw it as a very good window to buy back our stock for our shareholders at a very good price and that's proven to be a good investment. And if those opportunities present themselves as long as we have the right amount of capital we will continue to do that when they present themselves.
Operator: Thank you. The following question is from Sumit Malhotra of Scotia Capital.
Sumit Malhotra: Thanks. Just one point of clarification and then my question. Laura, to go back to a question that was being asked, your oil and gas gross impaired loans are down 300 million quarter over quarter. Is that exclusively due to that one divestiture or was there improvement in another part of the portfolio?
Laura Dottori-Attanasio: So there are a few names in there. The largest one was the one I referred to, and so the numbers for that one is about the $200 million range out of that. And then of course this quarter with the exited European name, that would have seen an increase into our impaired by close to the same amount and that you will see – sorry, I am looking now at our -- you'll see under manufacturing.
Sumit Malhotra: Yes, so that the European is not an energy exposure?
Laura Dottori-Attanasio: That’s correct.
Sumit Malhotra: So I am just talking about the oil and gas which was down 300 million.
Laura Dottori-Attanasio: That's right.
Sumit Malhotra: So the bulk of that is due to the one divestiture.
Laura Dottori-Attanasio: That's correct and the balance of that, so call it 50% of that is due to one name and the rest of it is a handful of names.
Sumit Malhotra: I've got that and my actual question is for Kevin Glass on the capital ratio. So you gave us the waterfall slide and we see the moving parts but essentially ex of the American Century stake capital – of that divestiture capital was flat in the quarter and that continues a trend that you had in the first half of the year in which the ratio moved lower. Wanted to ask you when we look at the operational risk, RWA increase and then this ongoing issue of pension. We think about these factors, is the capital generation of the bank at a lower level than we would have previously believed and for something like pension with rates having dropped as much as they did in the quarter, this has become an ongoing drag or is it really the quarter to quarter movements in bond yields that determine the how that trends?
Kevin Glass: First of all, I will just say we continue to generate strong excess capital each quarter and in fact, that's allowed us to absorb a number of headwinds, that you just alluded to. Previously we also had some credit downgrades. We've absorbed that, the operational risk, RWA floor and the value of the pension. So as far as the operational risk floor is concerned that's more of a one off item. So we did introduce a new AMA model that was approved, a floor was introduced. So that’s a one time issue that we won’t have to deal with again. As far as the pension is concerned, that is an issue more of volatility than ongoing and in this particular quarter there was a big drop in rates, so that increased our pension liability and therefore negatively impacted our CET1 ratio. In prior quarter if you go back to early ’15 you remember there was a big drop in our CET1 as a result of that, a lot of it came back over the next couple of quarters. This particular quarter we happened to be down 9 basis points, the previous quarter I think because it's more or less flattened, before that 2 basis points. So you will see a bit of volatility on that as rates stabilize or -- if they stabilize it's not going to move at all. It'd improve a bit and we will see a pickup. So I think that our capital generation is very strong, we've had a couple of one-off items and the good news is we managed to deal with it effectively and continue to improve our capital.
Sumit Malhotra: So I think I've got that. So it's really the movements in bond yields that are going to affect that pension factor on a sequential basis, on a quarterly basis on the mark to market. And I think the one thing we can look forward to from what Victor said is that there are some balance sheet optimization or repurposing measures that you're considering that should help this number as well.
Kevin Glass: We continue to do that as a management team on an ongoing basis. Capital is something we talk about actually every single day. And the other thing to point out that could introduce a bit of volatility in the ratio is as markets move that could also have an impact on our pension asset situation which could also impact this. But by and large I think you got it right there.
Operator: Thank you. The following question is from Doug Young of Desjardins Capital Markets.
Doug Young: Hopefully this will be relatively quick. I just want to go back to the European provision, on the leveraged finance portfolio. I guess my understanding is you had a loan, you impaired it, you provision for it and I guess my question more is why would you have included that in a notable item and excluded that from cash, because I would have figured that would be just the normal course of business? And I guess is this issue been dealt with or in terms of this is I think you mentioned I believe that the last loan in that portfolio, just some clarification around that that would be helpful. Thank you.
Kevin Glass: But let me take the disclosure part of that, means you're going to follow up. You can address it with Laura. So this is a loan in our European leveraged finance portfolio. I think as Laura discussed it here with the business that we were in and entered into before the financial crisis, we exited it at that point. And we've consistently treated that as a run-off portfolio. We have had a couple of losses in that portfolio over the last few years and gains and in both cases we've consistently treated those as items of note. So this is the last loan in the European portfolio. You'll see in our disclosure there is about $165 million left. And this would represent the end of that business.
Operator: Thank you. The following question is from Peter Routledge of NBF.
Peter Routledge: Hi, to follow up from some of Laura’s I guess and David’s comments. You pointed out, Laura, that delinquencies for cards and personal lending products are rising. And then I look at the drawn part of your qualifying revolving retail portfolio which looks like there – it’s up a little bit more than it's been in for the past several quarters. So what's happening in oil producing provinces? Are people starting to draw on their unsecured lines and then maybe talk about how they're drawing on their HELOCs?
Laura Dottori-Attanasio: Yes. So in the oil provinces we are seeing on a year over year basis all, like delinquencies trending up. It seems to have or at least on a quarter over quarter basis plateaued if you will somewhat but again all very expected given the increase in the unemployment rate that we've seen. So I'd say that we expect our delinquencies to remain elevated. And losses probably remain around the current level for the balance of 2016. Specifically we have seen, if you will, our outstanding exposures increase somewhat, I don't have the actual detail per product when we get into HELOCs but I would say for all of our products, pretty much we've seen draws increase which again would be expected given the increase in the unemployment rate that we're seeing.
Peter Routledge: And if you've given any thought to in oil producing regions where you start to see folks trying perhaps to fulfill liquidity shortage of cutting those lines, just because they're revokable and you can do it, I believe. I mean, to what extent have you thought about doing that?
Laura Dottori-Attanasio: Well, we employ ongoing what we call risk mitigation strategies or actions in all of our portfolios. And so we don't typically just revoke credit. I mean we do care about our clients and our relationships and so we really do work with our clients to try to get to the most positive outcome. And so we have strategies that focus around things. So for example where we might go out and do new offers to try to bring in new clients we might slow that down or where we might have been more proactive in terms of offering increases in lines of credit, we might slow that down. We'll also be a bit more proactive from a collection treatment perspective where we might be calling our client sooner when we see the first sign of a missed payments or decreased payment to have a conversation to see how we can work with the client. And so there's various what we call mitigation strategies available to us. And that that would be what we do.
Operator: Thank you. The following question is from Mario Mendonca of TD Securities.
Mario Mendonca: I have a couple quick follow questions, so I'll try to go quickly through this. Is there any reason to believe that the impact of the PrivateBancorp acquisition will have a greater than say 90 or 100 basis point impact on your CET1 ratio?
Kevin Glass: I think as far as the PrivateBancorp acquisition is concerned, I think it may be slightly higher than that. But we have targeted to be a 10% and we continue to target that level, Mario.
Mario Mendonca: So the impact would be just a little bit above 100 basis points, that's what you're suggesting to us?
Kevin Glass: Yes.
Mario Mendonca: Laura, real quickly, you referred to $100 million loss if this is on the mortgages, if housing were down 30% and unemployment got to 11%. Were you referring to BC or were you referring to the country?
Laura Dottori-Attanasio: So I was referring to the country.
Mario Mendonca: And then so the question I really have is if that's what's happening to the insured -- sorry the uninsured mortgages, what's happening to the insured mortgages, would it be multiples of that, multiples of $100 million?
Laura Dottori-Attanasio: Well, so the stress that I provide in terms of that number for call it the first year, that includes the uninsured segments but in that we also assume that for our insured mortgages a much larger proportion of them we will not get the insurance coverage that we were expecting. So in that stress we assume that there are a segments of insured mortgages that will become if you will uninsured.
Mario Mendonca: Why would they become uninsured?
Laura Dottori-Attanasio: Well, just again as a stress we look at sort of the things everyone likes to think won't happen but we imagine that there are lots and lots of requests coming into our insurance provider. So many that they start to get much much tighter in terms of whether or not they want to grant us our insurance coverage and they start a full protracted debate around, no, we're not sure you actually did that. And so we just assume that in times like that we will have less insurance coverage than we actually do have. So it's really being conservative.
Mario Mendonca: Okay, so you're going to the heart of the question then for me because, the issue for me is not the 100 million that CIBC or the banks would have to bear. But the extent to which losses have become so significant for the insurers that the banks themselves have to contemplate materially higher losses. So I guess the nature of the question is when you run through this stress test and $100 million falls to CIBC how much do you think falls to the insurers? What I'm getting at is could it be multiples of $100 million?
Laura Dottori-Attanasio: Well given the insurers do insure a lot more mortgages than each individual bank has, I think that assumption would hold true.
Mario Mendonca: But I'm referring specifically to CIBC’s mortgages, not no one else's, just CIBC, would it be multiple of the 100 million?
Laura Dottori-Attanasio: Well, I don't believe it would be as I said I think we're quite conservative in terms of the percentage of our insured mortgages that we assume will not have insurance coverage.
Mario Mendonca: Right but that's not what I'm getting at. I'm not talking about CIBC’s losses, I'm talking about the losses borne by the insurers related to CIBC’s mortgages.
Laura Dottori-Attanasio: Yes, could be but I don't want to speak for them.
Mario Mendonca: But they are your mortgages, they're not CMHC’s mortgages?
Laura Dottori-Attanasio: I hear what you're saying but I guess, when we do our stress analysis here, we do our stress analysis based upon the impact that we at CIBC are going to have and not on the one that our insurer might have. End of Q&A
Operator: Thank you. I will now turn the conference back over to Mr. Ferren.
John Ferren: Okay. Thanks everyone for joining us this morning. Have a great day. If you have any follow up questions, just follow up with the Investor Relations Department. Thank you very much.
Operator: The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.